Operator: Good morning. And welcome to the Clovis Oncology First Quarter 2022 Operating Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. .  I will now like to turn the call over to Anna Sussman, Vice President of Investor Relations and Corporate Communications for Clovis. Please go ahead.
Anna Sussman : Thank you. Good morning, everyone. Welcome to the Clovis Oncology first quarter 2022 conference call. Thank you for joining us. You've likely seen this morning's news release and if not, it's available on our website at clovisoncology.com.  As a reminder, this conference call is being recorded and webcast. Remarks may be access live on our website during the call and will be available in our archives for the next several weeks. Today's agenda includes the following. Pat Mahaffy, our President and CEO will discuss the first quarter and recent highlights, including a summary of the recent monotype top-line data readout and the anticipated upcoming clinical milestones for Rubraca. Dr. Thomas Harding, our Chief Scientific Officer will present an update of our FAP-2286 and targeted radionuclide therapy development programs, including upcoming clinical data presentations for FAP-2286 and LuMIERE. Dan Muehl, our Chief Financial Officer will cover the financial results for the quarter. Patrick will make a few closing remarks and then we'll open the call for Q&A during which time Pat, Tom and Dan will be available to answer questions. Lindsey Rolfe, our Chief Medical Officer is unable to attend this morning's call and Q&A session. But happy to arrange follow up calls as needed.  Before we begin, please note that during today's conference call, we may make forward looking statements within the meaning of the federal securities laws, including statements concerning our financial outlook and expected business plans. All these statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements.  Our actual results could differ materially due to a number of factors, including the extent and duration of the effects of the COVID 19 pandemic, and the timing and extent of recovery of COVID. Please refer to our recent filings with the SEC for a full review of the risks and uncertainties associated with our business. Forward-looking statements speak only as of the date on which they are made, and Clovis undertakes no obligation to update or revise any forward looking.  Additionally, please note that we'll be discussing cash burn and non-GAAP financial measures during today's conference call. Required disclosures related to this are on today's news release which can be found on our website.  I will now turn the call over to Patrick Mahaffy
Patrick Mahaffy : Thanks, Anna. Good morning everybody. Appreciate your time. I'll start the call with a review of Rubraca. Sales in Q1, 2022 were $34.2 million, 5% lower than the prior quarter and 10% lower year-over-year compared to Q1, 2021. As seen over the previous quarter, this year-over-year decline is primarily due to continued fewer diagnoses and fewer patient certs in the U.S. primarily caused by the ongoing COVID-19 pandemic.  As noted by one of our competitors, ovarian cancer diagnoses are down approximately 29% from pre-pandemic levels. And in Q4 2021, the most recent data available, new patient starts for PARP inhibitors across all indications were down 19% compared to Q1 2021 and down 26% compared to Q1 2020. Clearly and as reflected in their sales, the impact of COVID-19 has been borne by our competitors as well as us. And we do believe this impact will moderate over the course of this year as a pandemic hopefully received.  Most importantly, it is tragic that so many patients with this disease will only be diagnosed when their disease is ever more difficult to treat. We do expect the need for maintenance treatment of advanced ovarian cancer patients to increase as patient visits and diagnoses eventually grow.  In addition Rubraca use in the recurrent maintenance treatment setting, based on ATHENA model, and potentially our other Phase 3 readouts anticipated in the next 12 months. We see significant label expansion opportunities for Rubraca to address both ovarian and prostate cancer patient populations.  Of course, the highlight for the first quarter was the release of top-line results from ATHENA-MONO, the monotherapy portion of our Phase 3 ATHENA study of Rubraca as first line maintenance treatment for ovarian cancer results of which exceeded our expectations. We believe these data demonstrate the benefit that Rubraca can provide as an important new treatment option for women with advanced ovarian cancer in the frontline maintenance setting.  All discussed the ATHENA-MONO top-line results to be presented next month at ASCO as well as the upcoming data readout for the two Rubraca Phase 3 label expansion study shortly. For FAP-2286, the Phase 1 portion of LuMIERE continues to enroll and we remain committed to maintaining our lead in the clinical development of an FAP targeted radionuclide therapeutic candidate. We are investigators from an extremely enthusiastic about this program and look forward to presenting the initial Phase 1 LuMIERE data in an oral presentation at the Society of Nuclear Medicine and Molecular Imaging or SNMMI at their 2022 -- tumor types during the fourth quarter of this year.  Tom will speak about developments for the program shortly, but first I'll stand in for Lindsey to describe the ATHENA-MONO top-line data and upcoming clinical milestones for Rubraca. ATHENA to remind you is a Phase 3 1,000 patient study and firstline newly diagnosed advanced ovarian cancer. With ATHENA we believe we are uniquely positioned to evaluate Rubraca in terms of two independent outcomes monotherapy versus placebo in the first line maintenance setting, as well as any potential advantage of the combination of Rubraca plus Opdivo over Rubraca alone in the same first line indication.  As we detailed the results on a previous call, I'll briefly review the data today. ATHENA model will enroll 538 women with high-grade ovarian fallopian tube or primary peritoneal cancer. The primary efficacy analysis evaluated to prospectively defined molecular subgroups in a stepdown manner. HRD positive, inclusive of Rebraca-mutated tumors, and second all patients randomized or intended to treat in the ATHENA model study. As a reminder, this study is evaluating newly diagnosed patients with advanced ovarian cancer following successful first line treatments with platinum based chemotherapy.  The ATHENA-MONO comparison which is evaluating Rubraca monotherapy versus placebo, successfully achieved the primary endpoint of improved PFS by investigator assessment in both populations in the primary efficacy analysis, HRD positive and the intent to treat. The HRD positive subgroup includes those patients whose tumors had homologous recombination deficiency, including deleterious Rubraca mutations. In addition, benefit in progression free survival was also seen in the exploratory subgroups of patients with Rubraca-mutant tumors BRCA wild type HRD positive or negative tumors and those whose biomarker status could not be determined.  Moving on to the detail of the primary efficacy analysis, beginning with the HRD positive patient population. In the HRD population, which included 234 patients, Rubraca practiced showed a statistically significant improvement in investigator assess progression free survival over placebo. The hazard ratio was 0.47, the median PFS for the HRD positive patient population treated with Rucaparib was 20.7 months versus 11.3 months for placebo with a P value of 0.0004.  In the second step of the primary efficacy analysis, the intent to treat population which included all 538 patients randomized, Rubraca also showed a statistically significant improvement over placebo. The hazard ratio here was 0.52. The median progression free survival for all patients enrolled in ATHENA-MONO when treated with Rucaparib was 20.2 months versus 9.2 months for placebo, with a P value of less than 0.0001. Moving to the exploratory subgroups. The progression free survival endpoint in the exploratory subgroup of patients with Rubraca mutated tumors demonstrated a hazard ratio of 0.4. The median PFS for the 91 patients treated with Rucaparib was not yet reached, versus 14.7 months for the 24 who received placebo In the subgroup of BRCA wild type HRD negative patients, the progression free survival endpoint demonstrated a hazard ratio of 0.65. The median PFS for the 189 patients treated with through rucaparib was 12.1 month versus 9.1 month for the 49 patients who received placebo. In the subgroup of BRCA wild type but HRD positive patients that PFS endpoint demonstrated a hazard ratio of 0.58 the median PFS for the 94 patients treated with rucaparib was 20.3 months versus 9.2 months for the 25 patients who received placebo. And finally in the subgroup of patients whose biomarker status could not be determined, the PFS endpoint demonstrated a hazard ratio of 0.39. The median PFS for the 53 patients treated with rucaparib was 17.5 months versus 8.9 months for the 13 patients who received placebo. The safety of rucaparib observed in ATHENA-MONO was consistent with both current U.S. and European labels. The most common treatment emerging grade three or higher adverse events and 5% or more patients in the rucaparib were anemia, or decreased hemoglobin of 28.7%. Neutropenia, 14.6% ALPASP increased 10.6% and thrombocytopenia. 7.1%. The rate of treatment, emergent myelodysplastic syndrome or acute myeloid leukemia in the rucaparib arm was point 2%, and no patient on the placebo arm experienced treatment emergent MDS or AML . We presently intend to submit sNDA to the FDA and subject to EMA discussions. A Type 2 variation to the EMA for a first line maintenance treatment indication for women with the advanced ovarian cancer who have responded a first line platinum based chemotherapy. We're now engaged in discussions with FDA on the scope and timing of our submission, and we expect that the regulatory agencies will review the overall results as well as results by the individual subgroups I described in making their assessment. We will provide initial data from the ATHENA-MONO ASCO annual meeting on June 6 In Chicago, which will include Kaplan-Meier curves and key secondary endpoints, including progression free survival by blinded independent centralized review, and other analyses. Looking ahead to other phase three readouts for Rubraca. Data from ATHENA-combo, the combination of Rubraca plus Opdivo versus Rubraca monotherapy, are expected in the first quarter of 2023, as previously announced, The only opportunity for monotherapy Rubraca in frontline ovarian cancer, the ATHENA combo study represents the potential to introduce an anti-PD-1 containing regimen for the first time to a broad population of ovarian cancer patients. Continuing with upcoming milestones, top-line data from the TRITON3 trial are now expected in the third quarter of 2022 rather than second quarter of ‘22 based on a slower than expected event count. TRITON3 is a Phase 3 study evaluating Rubraca versus physician’s choice chemotherapy, or second line androgen deprivation therapy in patients with castrate resistant prostate cancer with Rubraca or ATM mutations. This trial is expected to serve as a confirmatory study through Rubraca’s current approval in metastatic castrate resistant prostate cancer, as well as a potential second line label expansion.  ATHENA and TRITON3 each provide the potential to reach larger patient populations in earlier lines of therapy for both ovarian and prostate cancers. As is obvious in our industry, the timing for the data readouts for ATHENA-COMBO and TRITON3 are contingent upon the occurrence of the protocol is specified progression free survival events, and timing estimates are based on event-based projections. One last mention related to Rubraca, You may recall that we announced top-line ARIEL4 data in December 2020, which compared Rubraca with chemotherapy in patients with ovarian fallopian tube, or peritoneal cancer with BRCA mutation, whose cancer has come back after chemotherapy. The trial which was a post marketing commitment, met its primary endpoint of progression free survival with no new safety signals identified. Overall survival is a secondary endpoint of the study. At that time, we shared that there appeared to be a survival advantage for the chemotherapy arm compared to Rubraca.  While we announced these data in December 2020, and submitted these data to EMA and FDA last summer, in the last few weeks that EMA’s begun an Article 20 procedure to review the ARIEL4 dataset specifically to evaluate the risk benefit of Rubraca in the treatment indication. EMA explicitly states that there are no new safety concerns with medicine. And this review does not repeat does not include the use of Rubraca as maintenance treatment following chemotherapy in the second line setting. While the article 20 procedure is ongoing, EMA is as positions not to start new patients on the third line treatment indication. We will distribute a DHCP letter to this effect in Europe within the next couple of weeks. We expect this ongoing review to last three to six months. While the procedure may ultimately lead to limitations on the later line treatment indication in Europe, this represents a very, very small fraction of our sales in Europe, and in fact is only reimbursed in Germany in the Netherlands. The final overall survival data from ARIEL4 are now available and are summarized as follows. And the intent to treat population, the hazard ratio was 1.313 with a nominal P value of 0.0507. In the platinum resistant subgroup, the hazard ratio is 1.5 with a nominal P value of 0.0251. In the platinum sensitive subgroup, the hazard ratio was 1.07 with a nominal P value of 0.7455. To our knowledge, ARIEL4 is the only randomized Phase 3 trial of a PARP inhibitor in the advanced treatment setting that has both platinum resistant and platinum sensitive cohorts. The randomized Phase 3 trial of olaparib SOLO3, which included platinum sensitive patients only also reported a hazard ratio of 1.07, which is exactly the same as the hazard ratio of the platinum sensitive subgroup in ARIEL4.  In ARIEL4, patients randomized to chemotherapy were allowed to crossover and received rucaparib at the time of disease progression. 69% of the chemotherapy patients in fact did crossover and overall 90% of all ARIEL4 participants received rucaparib within the clinical trial.  Therefore, these data are not easy to interpret and highlight the complexity of overall survival analyses and clinical trials for crossover is a mandated or available component within the study. We will present the final ARIEL4 overall survival data at a medical meeting later this year and anticipate a dialogue with FDA as well related to these results.  All right, let me turn it over to Tom -- our Chief Scientific -- Tom Harding our Chief Scientific Officer to discuss the FAP-2286 and targeted radionuclide therapeutic development program.
Thomas Harding: Thanks, Pat. Hello, it's a pleasure to speak with you again today. FAP-2286, our lead targeted radio therapeutic compounds licensed as part of our ongoing collaboration with 3B Pharmaceuticals is the first peptide targeted radiotherapy candidate or PTRT targeting fibroblast activation protein, also known as FAP in clinical development.  FAP is highly expressed on cancer associated fibroblasts or CAFS, which represent one of the most abundant cell components in tumors and are found in the majority of solid tumors. CAFS play a critical role in tumor initiation progression, metastasis in therapeutic resistance. For example, recent studies have demonstrated FAP expressing CAFS is a potent immunosuppressive activity that can promote tumor progression and confer resistance to immune-based therapies such as PD-1 or PD-L1 blockade.  Previously, we have presented non-clinical data describing a high expression level of FAP across nine of 16 solid tumor type screens using immunohistochemistry. High FAP expression was observed in pancreatic ductal adenocarcinoma, cancer of unknown primary salivary gland mesothelioma colon, bladder sarcoma, squamous non-small cell lung, as well as squamous head neck cancers.  In these tumor types, high SFAP expression was detected in both primary and metastatic tumor samples and was independent of tumor stage and grade. The analysis also demonstrated that in most tumor types, FAP expression was predominately localized to cancer associated fibroblasts surrounding the tumor cells and integrated as a tumor microenvironment. In addition, in cancers of mesenchymal origin, including sarcoma and mesothelioma FAP expression was observed in tumor cells in addition to CAFS. These data support the investigation of FAP-2286 in multiple tumor types in the planned Phase 2 expansion cohorts of LuMIERE. Additional presentations of non-clinical data anticipated medical oncology and nuclear medicine meetings over the next few quarters.  As interesting FAP as the target increases and the field grows larger, we are pleased to be in the first mover position with FAP-2286 First peptide target radionuclide therapeutic targeting FAP to enter into the clinic. Clinically, we are focused on FAP-2286 monotherapy development in our ongoing LuMIERE Phase 1/2 study. However, as we've discussed previously preclinically we continue to evaluate a number of LuMIERE drug combinations.  Given the role of FAP-2286 expressing cast and mediating resistance in base therapy, such as PD-1 and PD-L1 blockade, combination with these agents is a priority. We are evaluating a non-clinical study the efficacy and mechanism of action of FAP-2286 and the PD-1 blocking monoclonal antibody and synthetic mouse tumor models.  In addition to immune checkpoint inhibitors, there are a number of publications reporting non-clinical data to support the combination of targeted radiotherapy with PARP inhibitors to open efficacy. This makes sense since radiotherapy is worked by causing DNA damage by radioactive emission. If this damage is not repaired, the cell will eventually die. One of the critical proteins for repairing radiation induced damage is PARP and its inhibition augments efficacy in combination with multiple targeted radiotherapy agents.  We are currently evaluating the combination of FAP-2286 with our PARP inhibitor rucaparib in preclinical models.  Lastly, radiation is known to synergize with a number of agents are currently approved as a standard of care in specific cancers indications. For example, Gemcitabine used as a first line chemotherapy and pancreatic cancer and other carcinomas is a well-known radio sensitizer and could have utility in combination with FAP-2286. We are currently performing a high throughput screen of approved oncology drugs in combination with radiation to identify promising combinations with 2286 development. We look forward to reporting the results of our ongoing non-clinical work at upcoming scientific meetings.  The end of commitment to developing a lutetium best compound, we've also begun exploring an alpha particle emitting compound. To this end, in March, we initiated a development manufacturing and services agreement with Evergreen Theragnostics to develop actinium-225 labeled FAP-2286.  As part of our commitment to this emerging field, we have developed educational materials including a microsite, an introductory video that will provide more information about targets radiotherapy, FAP-2286. And Clovis is targeted radionuclide development program. To learn more about this, please visit targetedradiotherapy.com.  Lastly, before I tend to the clinical update, and upcoming milestones for FAP-2286. We are collaborating with 3B Pharmaceuticals on a discovery program directed at three additional targets for targeted radionuclide therapeutic development, to which we will have global rights. In ongoing Phase 1/2 LuMIERE study, FAP-2286 is used both as an imaging agent and a therapeutic agent, a concept often described as a theranostic. So the imaging agent, FAP-2286, is attached to the isotope gallium 68 to allow Positron Emission Tomography or PET imaging and selection of patients for inclusion into the study. For the therapeutic agent, FAP-22 86 is attached to the isotope lutetium-177, and emitter of beta particle ionizing radiation, of course, this DNA damage and cell death.  The Phase 1 portion of the LuMIERE study continued to enroll patients, and a third dose cohort is planned to initiate this week. Following the Phase 1 evaluation of the safety of FAP-2286 and the determination of a recommended Phase 2 dose, expansion cohorts are planned in multiple tumor types, and are expected to begin in the fourth quarter of 2022.  In addition to our own program, a separate investigator sponsored imaging study with FAP-2286 is underway at UCSF and is being led by Dr. Thomas Hope, was also the principal investigator of the LuMIERE study. The imaging only study is evaluating FAP expression in multiple tumor types and is currently enrolling patients.  Results from this study along with the preclinical data we are generating are expected to help inform selection of tumor types in the Phase 2 expansion cohorts within LuMIERE. We are look forward to several medical meeting presentations in June for FAP-2286. Dr. Hope’s imaging data will be the subject of a poster presentation at ASCO in Chicago on Sunday, June 5. And a week later will be the SNMMI annual meeting in Vancouver, in which we will have two oral presentations on FAP-2286 On Tuesday, June 14.  The first presentation of Phase 1 data from LuMIERE which has been accepted to oral presentation and Dr. Hope’s imaging data which will also be the subject of an oral presentation at that meeting. It's an exciting time for this program. And we look forward to sharing these updates and others throughout 2022.  And with that, I'll turn the call over to Dan to discuss first quarter financial results.
Dan Muehl : Thanks, Tom and hello everyone. We reported net product revenues for a Rubraca $34.2 million for Q1 2022 which included U.S. product revenues of $24.5 million and ex-U.S. product revenues of $9.7 million respectively. This represents a sequential 5% decrease from Q4 2021 and a 10% decrease year-over-year compared to Q1 2021 net product revenues of $38.1 million, which included U.S. net product revenues of $31.7 million and ex-U.S. net product revenues of $6.4 million.  Gross net adjustments totaled 28.5% globally in Q1 2022 Compared to 30.6% in Q4 2021. GTN was lower in both the U.S. and Europe. This metric fluctuates quarter-to0quarter as it difficult to estimate on future revenues, but the high 20 percentile level seems likely depending on the revenue and distribution mix for the U.S. and Europe.  Research and development expenses totaled $42.3 million for Q1, 2022 down 20% compared to $52.8 million for the comparable periods in 2021. We expect R&D expenses in 2022 to be comparable to 2021.  Selling general administrative expenses totaled $29.2 million for Q1 2022 down 2% compared to $29.9 million for the comparable period in 2021 due to overall cost reduction efforts. We also expect SG&A expenses in 2022 to be comparable to 2021.  We reported a net loss for Q1 2022 of $60.2 million or $0.44 per share, compared to a net loss for Q1 2021 of $66.3 million or $0.64 per share. Net loss for Q1 2022 included share based compensation expense of $6.6 million, compared to $4 million for the comparable period of 2021.  Turning now to a discussion of cash and debt, closed at $122.2 million and cash equivalents as of March 31,2022. During Q1, 2022, the company raised $28.6 million in net proceeds through its app market equity offering program. Clovis remains focused on its liquidity position and is committed to raising additional capital in the near term, in order to fund its operating plan for the next 12 months and beyond. As of March 31, 2022, the company had drawn $156.4 million under the Sixth Street Partners LLC, ATHENA clinical trial financing and had up to $18.6 million available to draw under the agreement to fund expenses of the ATHENA trial.  Net Cash used in operating activities was $58.5 million for Q1 2022, down 5% from the $61.9 million reported in Q1, 2021. Cash burn and Q1, 2022 was $49.3 million up 2% from $48.1 million in Q1 2021. As the cost for the ATHENA trial was reducing SSP funding was $4.6 million lower than Q1 ‘22 versus Q1, 2021. Q1 is also typically a higher cash burn quarter during a fiscal year.  Now I'll turn it back over to Pat.
Patrick Mahaffy : Thanks, Dan. In summary, we entered 2022 knowing that it would be the most significant year for clinical data readouts in our history. And we're very pleased with the results from the ATHENA-MONO study of Rubraca. The first of those readouts performance as well as it been. Importantly, we believe that the positive results from ATHENA-MONO, which we will highlight at ASCO next month, demonstrate the benefit that Rubraca can provide as an important treatment option for women with advanced ovarian cancer in the frontline maintenance setting.  Looking ahead, we continue to anticipate two additional Phase 3 readouts through Rubraca. TRITON3 in the second line prostate cancer treatment setting for selected patients during the third quarter of this year, and ATHENA-COMBO in combination with Opdivo in the first line ovarian cancer maintenance treatment setting in the first quarter of 2023. Importantly, for our first targeted radiotherapy candidate FAP-2286, we look forward to presenting initial data from the Phase 1 portion of the LuMIERE study at the SNMMI annual meeting next month and initiating the Phase 2 portion of the study during the fourth quarter.  These anticipated pipeline events and our commitment to improving our balance sheet support our efforts to execute our three core strategies, expanding the Rubraca label to drive revenue growth, emerge as a leader in targeted radionuclide therapy and achieve longer term financial stability.  With that, I'm happy to answer any questions -- we are all happy to answer any questions you might have.
Q - Charlie Ferranti: Hi, good morning, everyone. This is Charlie on for Paul, thank you for taking our questions. So looking forward to all of these events coming up this year, particularly with the 2286 read out in June. And I was just wondering if you could maybe frame expectation in terms of like what sort of data what sort of plots we can expect in this oral presentation. And maybe if you could set perhaps a clinical bar even in terms of response rates for the patients that would be included. And then furthermore, regarding additional radio farm assets with the 3B collaboration, just wondering if we're still on track to maybe hear more about those additional discovery assets in the latter half of this year. Thank you so much.
Patrick Mahaffy : I'll start with the presentation in June. And then Tom can answer the question about discovery programs. This will be the first presentation of data from an ongoing Phase 1 trial. We are just now beginning this week, in fact to enroll patients in the third dose cohort of the plan for those cohorts. So the data that will be presented will include an update on patients treated in the first and second cohorts of the study. It will focus primarily as it is a Phase 1 trial on safety and tolerability. There will be other features given that as a targeted nuclear radionuclide, which will include tumor specificity, tumor uptake and the duration of time that the targeted radionuclide 2286 is retaining the tumor environment.  So what we have talked about is that to drive ultimate activity for this class. You have to get to the tumor, you have to stay in the tumor, and you have to avoid off target tissues. And we'll be providing an early look at how we perform against that metric. But I'll remind you, it's a relatively small number of patients. As to efficacy will report on any, of course on any disease impact from the trial. But I will remind everybody, these are two low dose cohorts. And so I think your expectation should be that there will be much more focus, if not so focused on safety and tolerability and the other attributes I described.  At the second meeting where we anticipate presenting data, which is in October in Barcelona, at a European Equivalent Meeting. That's where I think we could most realistically expect to see evidence of, of antitumor effect.  Tom, anything you'd add to that or and also on the discovery programs?
Thomas Harding: And thanks for the question. Nothing to add to the clinical LuMIERE study readouts. Just on the discovery component. So we have signed a deal with 3B Pharmaceuticals for three discovery candidates. And I'm pleased to say that we are on track to be able to talk about one of those programs, actually elevating to preclinical lead candidate selection at the end of this year. So look forward to telling you more about that program when the time comes. But there's a completely novel peptide targeted radionuclide therapy against the cancer target.
Charlie Ferranti: Thank you so much, everyone. 
Patrick Mahaffy : Thanks.
Operator: And there are no further questions at this time. I will turn the call back over to the presenters for closing remarks. 
Anna Sussman : Thank you. Thanks, everyone. It's a busy morning of analysts call -- earnings call, we understand from our analysts. So thank you each for your time today. If you have any follow up questions, you can reach me at 303-625-5022. This call can be accessed via a replay of our webcast at clovisoncology.com beginning in about one hour. And it will be available for 30 days. Appreciate your interest in time. Thank you and have a good day. 
Operator: This concludes today's conference call. You may now disconnect.